Operator: Good morning and welcome to the USA Compression Partners, LP’s Second Quarter 2021 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, August 3, 2021. I would now like to turn the conference over to Chris Porter, Vice President, General Counsel and Secretary.
Chris Porter: Good morning, everyone, and thank you for joining us. This morning, we released our financial results for the quarter ended June 30, 2021. You can find our earnings release as well as a recording of this call in the Investor Relations section of our website at usacompression.com. The recording will be available through August 13, 2021. During this call, our management will discuss certain non-GAAP measures. You will find definitions and reconciliations of these non-GAAP measures to the most comparable GAAP measures in the earnings release. As a reminder, our conference call will include forward-looking statements. These statements include projections and expectations of our performance and represent our current beliefs. Actual results may differ materially. Please review the statements of risk included in this morning’s release and in our SEC filings. Please note that information provided on this call speaks only to management’s views as of today, August 3rd, and may no longer be accurate at the time of a replay. I’ll now turn the call over to Eric Long, President and CEO of USA Compression.
Eric Long: Thank you, Chris. Good morning, everyone, and thanks for joining our call. Also with me is Matt Liuzzi, our CFO. This morning, we released our financial and operational results for the second quarter of 2021, reflecting continued stability in our infrastructure-driven business with results that were largely consistent with the prior quarter and in line with what we expected. I would categorize this quarter as one of foundation building, with continuing overall improvement in our base business fundamentals. While commodity prices for both oil and natural gas have dramatically improved over the past year, and worldwide storage levels have declined dramatically, setting the stage for supply-demand equilibrium, the specter of short-term pressure on demand due to the emerging COVID-19 Delta variant exists. With continued discipline by OPEC+, the ultimate reopening and strengthening of global economies, continued reduction of oil and gas and storage worldwide, and insufficient additions to new sources of supplies due to low levels of capital expenditures for drilling, the stage is being set for expanding activities in the back half of 2021 and 2022. We are seeing the tension, the yin and yang between managing to free cash flow and ESP drivers, coupled with potential emerging COVID-19 demand implications and OPEC+ discipline, all of which are gaining better clarity in the coming quarters. Before I get into the specifics of the quarter, I want to highlight a special achievement by USA Compression’s operating team. We recently achieved a significant milestone, having worked over 3 million hours without a lost time injury, which represents a multiyear safe working time frame. Our HSE vision is zero incidents in all we do, and I am proud of the working and safety culture that the men and women of USA Compression embrace each and every day. Turning to the second quarter results. Total revenues were $157 million, essentially flat with Q1. We achieved adjusted EBITDA for the second quarter of approximately $100 million, also flat to Q1’s $100 million, which translated to an adjusted EBITDA margin of 63.9%, up from Q1’s 63.2%. Average utilization throughout the second quarter was 82.4%, down slightly from the Q1 level of 83.1%. This reduction was due in part to the sale of approximately 30,000 horsepower to a current customer under a long-term capital lease contract that came to term, as well as some optimization of compression by our customers. The total fleet horsepower was down during the quarter by approximately 34,000 horsepower, due primarily to the capital lease sale. Consistent with the previous quarter, we do not have any new units on order for delivery for the remainder of 2021 or 2022, at this point. We continued to exercise restraint on gross spending. Q2 saw spending of $8.2 million, primarily for reconfiguration of idle equipment and minor equipment purchases and first time startup cost. Maintenance CapEx of $5 million was consistent with expectations. We are seeing firming demand signals from our customers with increased quote activity, increased contracting activity, while pushing through some rate increases. Lead times for new engines from Caterpillar in our horsepower ranges of interest have lengthened during the quarter, indicating that in certain horsepower ranges, available equipment is beginning to disappear. This is consistent with past downturns, where compression utilization has historically lagged four to six quarters behind improved drilling and completion activities. We’re focused on redeploying our idle horsepower. But, unlike some of our smaller peers with less financial flexibility, we are being prudent in our commercial approach, maintaining attractive contract economics with our customers and not just dumping equipment on the market. With continued capital discipline throughout our sector, limiting new build activity, the few of us who have newer vintage, high-quality fleets that customers prefer, coming into the upcoming quarters, we will be uniquely positioned to meet increasing compression demand from our existing fleet, with nominal capital required to deploy the horsepower. Average pricing across the fleet ticked down slightly during the second quarter, with average monthly revenue of $16.55 per horsepower, down slightly from $16.60 in the first quarter, but consistent with where we ended up in 2020. The decline was due primarily to the mix of horsepower of the active fleet. Based on the second quarter’s results, the Board decided to keep the distribution consistent at $0.525 per unit, which resulted in a distributable cash flow coverage ratio of 1.03 times, consistent with the Q1 level. Our bank covenant leverage ratio was 4.95 times, a modest improvement from the previous quarter. Consistent with prior quarters, our Board of Directors determines a quarterly distribution on a quarterly basis, and the Board can opt to maintain, reduce or suspend a distribution, as it deems most appropriate. We’ve been able to maintain our distribution at the current level now for 34 quarters, returning nearly $1.2 billion to unitholders since our IPO back in 2013, and accounting for the distribution payments scheduled for this coming Friday. Further, when comparing USA Compression to some of our industry peers, our most recent three-year TSR, total shareholder return, places us yet again in the top quartile of performance. So, turning to market commentary and how we have come to our positive outlook for coming quarters. To quote the immortal words of Walter Gretzky, as passed on to the world through some Wayne. “Skate to where the puck is going, not where it has been.” We see the compression puck, so to speak, going to positive places in the upcoming quarters. While improved commodity pricing of both crude oil and natural gas has allowed many in the industry to strengthen their financial positions during the first half of 2021, our customers and operators across the industry continue to exhibit a strong sense of financial discipline, particularly around capital spending. Some of this is being driven by investor and capital market sentiments. Our E&P customers tell us that they are managing for free cash flow metrics, and that 2022 suggests three fundamental drivers are lining up for them to potentially increase drilling activity and bring new production online. First is continued levels of relatively strong commodity pricing. With attractive oil about $70 WTI and natural gas about $4 for MMBtu prices, while maintaining these levels in the 2022 should stimulate activity. While storage levels of oil and gas worldwide have been dramatically reduced over the past year, there is some potential short term pressure on demand due to the emerging COVID-19 Delta variant. As global economies open back up and continue to strengthen, we believe the stage is being set for continued strength in commodity prices. Second, is the roll-off of past hedges of both oil and natural gas. Many producers last year walked in sales with oil prices rose about $40 a barrel, following a catastrophic first half of 2020, including WTI briefly trading below zero. However, as crude has since jumped to $70 a barrel and natural gas to $4 an MMBtu this year, these same producers are now facing some substantial losses on hedges for the quarter, which negatively impacts free cash flow due to the required cash derivative payments. Once these past hedges have rolled off, substantial incremental cash flows will occur. And third is maintaining and controlling LOE, lease operating expense cost. There are some natural tension between customers and suppliers. And while there are current supply chain bottlenecks and inflationary pressure on steel, fluids and supporting inventory, so far, these have been manageable and are being absorbed by customers. As I mentioned last quarter, there remains a fair amount of uncertainty around potential regulatory and legislative changes post the recent election that may impact the broader energy industry. Our sense is that many, ourselves included, are waiting for some additional clarity before making substantial changes to how they’ve been operating in the past or committing to major additional capital expenditures. We do see a continued move, especially by the major oil companies to embrace elements of the Paris accord and the growing focus on ESG issues. USA Compression is exclusively and proactively exploring the use of patented and proprietary technology developed by Energy Transfer, dual drive as a potential cost effective offering to utilize both, a natural gas engine and an electric motor on a single skid with a single compressor frame to quickly and reliably switch from natural gas to electricity as a fuel source. We hope to share more with you about this exciting technology in the future. It is hard to imagine a world without natural gas and the Polar Vortex in February made that very clear, especially for us down here in Texas. We all understand that you can’t just shut down the natural gas grid overnight and economically switch to renewable sources of energy. At USA Compression, we believe that we are part of the solution, both in terms of providing critical compression services to allow gas to move around the country to where it is needed, but also in developing creative and cost-efficient ways to be part of the longer term ESG-driven electrification of everything mandates coming to our industry and the broader economy. As the Company moves to cleaner, more environmentally friendly sources of energy, we expect that in the future, both natural gas and the potential use of USA Compression’s dual drive compression assets will play a critical role in that transition. We continue to believe in the long-term outlook for natural gas, for power generation, industrial manufacturing, petrochemical feedstocks as well as a critical source of fuel in many parts of the world. Now more than ever, folks are acknowledging that we can’t cost effectively rely exclusively on renewable forms of energy and simply shut down the natural gas grid overnight. Our compression assets today and in the future will continue to play a critical role in moving natural gas from areas of production to areas of consumption over the long-term transition to a hydrocarbon-lighter society. So, some macro considerations. On the natural gas portion of the industry, we have witnessed relatively more stability and some recent strength in both prices and volumes, with more certainty on the demand side. This is not a new phenomenon. Natural gas has historically not experienced the level of volatility that crude oil has. The projections for domestic natural gas production have remained attractive. The most recent EIA short-term energy outlook estimates U.S. dry gas production to rise 1.3% in 2021 to about 92.6 Bcf per day, and then more than 2% in 2022 to 94.7 Bcf per day. These data points underscore the critical nature of natural gas. The industrial manufacturing and export drivers that are in part driving these projected increases in volumes over time are not easily or economically replaced. There is a reason that natural gas has grown over time into the powerhouse fuel that it is. It is abundant, economical, easy to transport and store. When you consider that these drivers will not go away anytime soon, you get a better understanding of why we like our position in the future long-term prospects for natural gas and demand for compression. We are seeing varying levels of activity across the basins in which we operate. Looking at the prolific gas producing regions of the Northeast, which for us includes both the Marcellus and Utica basins, operators continue to use compression to enhance their production and preserve capital which otherwise would be deployed to drilling new wells. We are seeing demand for well pad compression, as well as upsizing compression to account for declining well pressures. When we look at the oil-driven Permian Delaware basins, they continue to lead the new drilling activity, with over 50% of the active domestic rig count at the end of the second quarter, having added over 60 rigs, since year-end. This growth in new drilling activity has been primarily driven by private and generally smaller operators. We are hearing from the majors and large independents that 2022 will most likely see a pickup in their drilling activities. For the remainder of 2021, they are continuing their associated natural gas production with ever-increasing gas oil ratios GORs, with large volumes heading to the Gulf Coast region for LNG exports as well as exports to Mexico. The infrastructure to move that gas is generally in place. And so, it is not a matter of pipeline or plant capacity. We anticipate continued M&A activities between operators, as scale matters now more than ever than probably did in the past. In South Texas, the Eagle Ford Shale has seen a lot of recent quote activity for additional compression horsepower. Producers are getting back to pre-COVID-19 production levels, in part due to increased rig activity year-to-date in 2021 in the Eagle Ford. Close proximity to the export facilities and the abundance of pipeline options for transportation should help generate some growth opportunities for compression during the remainder of the year. The Haynesville is seeing heavy drilling activity, as well as some well over performance. As you may know, these wells typically begin life with tremendous initial pressures. And so, we would expect over time for these activity levels to translate into business opportunities for compression, once pressures decline. In the Rockies, we’ve seen an increase in DJ Basin activity with electric compression becoming a more frequent topic as well, which has numerous complexities and is not just a simple, just go do it solution to ESG considerations. There is also expanded drilling activity in the Bakken Shale, but that is not an area of focus for us. Outside of the U.S., non-OPEC oil production is expected to maintain -- to remain subdued. Some analysts are also predicting a massive and accelerating oil inventory draw worldwide by the end of this year, multiple times larger than historical averages. This suggests that the OPEC+ discipline, lack of drilling activity elsewhere and increasing demand are all impacting available crude oil supplies. Both air traffic and general economic activity have continued to improve across the globe, which is expected to drive demand for crude oil and products made from crude oil. This is expected to continue. And many believe that OPEC+ will continue to manage the global inventory levels appropriately to result in an increase in the price of crude oil across the board for a sustained period of time. While there is some potential short-term pressure on demand, due to the emerging COVID-19 Delta variant, we believe that will be transitory in nature. As global economies open back up and continue to strengthen, we believe the stage is being set for continued strength in commodity prices. Regarding natural gas, strength in the domestic natural gas markets has continued with natural gas futures currently near or slightly above $4 per MMBtu for the remainder of 2021. As we worked our way through the COVID-19 OPEC+ hiccups, base load natural gas demand not only did not decrease nearly as much as some expected, but activity cuts have resulted in tight supply-demand for natural gas today. The prognosticators were way too pessimistic on this dynamic. Remember, one of the key principles I have often mentioned relates to the decline dynamics of shale well production. The hyperbolic decline of production from shale wells results in initial decline rates that are dramatically steeper than those of conventional wells. All else being equal, without new wells being drilled and brought on line in order to offset this decline, you would expect to see production decreases. While the rig count is up, the natural gas rig count isn’t up nearly as much as the oil directed rig count. In today’s environment, you continue to witness financial or physical discipline on the part of E&P companies. And that discipline has significantly changed the landscape and the outlook for the industry. Capital has become much scarcer across the entire energy sector, but more so for the upstream participants than other sub sectors. Capital budgets were paired back meaningfully coming into 2021, and operators have stuck to those budgets with a focus on free cash flow and strengthening balance sheets. This step-change in investment is difficult to turn around in a short period of time, which is why many predict an attractive macro environment for both crude oil and natural gas for becoming future. As existing producing wells age, decline profiles flatten and natural gas volumes exhibit a shallow and very stable profile. Without meaningful new production coming on line, operators have in many cases chosen to use wells that have drilled but uncompleted, DUCs, to bring additional production online to make up for volume lost due to declines. However, this can only last so long. The data for June from the EIA indicates that overall DUCs were reduced by 4% month over month for May. Over the last 12 months, the EIA reports that the numbers of DUCs is down 30%. This is an astonishing data point and reflects the desire by producers to work out what they have, rather than drilling new wells. I think, you are likely to see this pattern continue, which should keep the supply-demand balance manageable, but likely at higher prices than we’ve historically seen. Additional compression is another way for operators to maintain production, and offset both pressure and volume declines in the low cost way. As we have discussed on past calls, compression is a critical part of the value chain. As we witness wells age and pressures to climb to move the same volume of gas requires an exponential increase in compression horsepower. In order to maintain production will likely take more work, i.e. horsepower to move the gas. So, even though gas volumes may be declining, the compression requirement actually increases as pressures also decline. Given the current state of play in the industry, one characterized by reduced and more precise capital spending, we continue to think our business model is one easily adaptable to the changes going on in the industry. We already own a lot of new vintage equipment that will be used to help our customers to keep their gas volumes moving. Just like in the past, we can easily shift from periods of growth to periods of stability, all while maintaining strong operating margins. So, to summarize, we continued to be in a phase of relative stability with clear indications of improving fundamentals in the energy industry. We are being proactive to position USA Compression in our fleet of assets for the potential use of dual drive technology for what we believe will be a long-term focus on ESG-driven considerations. On the more general economic front, the rebound has begun, but the full extent will depend, in part, on the impact from additional COVID-19 Delta variant measures and the resolution of some of the issues affecting economic recovery, such as supply chain delays and temporary inflationary pressures. Over the past several quarters, our business has stabilized and we see improving fundamentals developing over the next few quarters. We’ve once again achieved attractive operating margins, consistent with our past performance. We have managed our capital spending appropriately and are positioned well for what we see as an accelerating recovery. We continue to believe that large horsepower, multi-unit centralized compressor stations is a right strategy, and that our services will be in demand as things pick up in the back half of this year and into 2022. This will further bolster USA Compression’s long history of stability through multiple economic cycles. Natural gas demand is proven to be resilient, and some indications are for some meaningful growth in the intermediate term. We expect that demand to require continued natural gas compression services. I will now turn the call over to Matt to walk through some of the financial highlights of the quarter. Matt?
Matt Liuzzi: Thanks, Eric, and good morning, everyone. Today, USA Compression reported second quarter results, including quarterly revenue of $157 million, adjusted EBITDA of $100 million, and DCF to limited partners of $53 million, all of which were consistent from last quarter. In July, we announced a cash distribution to our unitholders of $0.525 per LTE common unit, consistent with the previous quarter, which resulted in consistent coverage of 1.03 times. To avoid any confusion, that distribution level has been consistent for 25 straight quarters, not the 34 quarters in Eric’s comments earlier. That related to our total quarters of distributions since our IPO. Our total fleet horsepower at approximately 3.7 million horsepower at the end of the quarter was down slightly, as Eric mentioned, due primarily to the sale of certain compression units to a customer. Our revenue-generating horsepower at period-end was also down slightly due in part to the same reason. Our average horsepower utilization for the second quarter was 82.4%, slightly down from the first quarter. Pricing, as measured by average revenue per revenue generating horsepower per month was $16.55 for second quarter, which was also a slight decrease from the previous quarter’s level of $16.60. Of the total revenue for the second quarter of $157 million, approximately $155 million reflected our core contract operations revenues, while parts and service revenue contributed roughly $2 million. Adjusted gross margin as a percentage of revenue was 70.9% in the second quarter, slightly above the Q1 number and consistent with USA Compression’s historical levels. Net income for the quarter was $3 million and operating income was $35 million. Net cash provided by operating activities was $99 million in the quarter. Maintenance capital totaled $5 million for the quarter. And lastly, cash interest expense net was $30 million. At this point, we’re not making any revisions to our previously communicated guidance for 2021. And last, we expect to file our form 10-Q with the SEC as early as this afternoon. And with that, we will open the call to questions.
Operator: Thank you. [Operator instructions] Our first question comes from Shneur Gershuni with UBS.
Shneur Gershuni: Hi. Good morning, guys. Maybe to start off, Matt, you just sort of said at the end that your guidance is unchanged. But, I just was wondering if you guys can sort of square a couple things for me here. It sort of seems like the midpoint of your guidance was basically based on kind of the annualized, which you did in 4Q. 1Q has been better; 2Q is pretty much the same. You’re kind of analyzing towards the top end of your guidance. And then, when I sort of listen to the discussion in your prepared remarks, you certainly signaled a more optimistic tone as well, too. Is there a seasonal issue in 3Q or 4Q that we should be aware of that sort of brings you squarely into your guidance range? Is there a sense of conservatism? Especially, when you talk about how equipments disappearing and that you’ve held some back and you’re maintaining even better contracts and being disciplined. I’m just trying to sort of square that whole conversation there with respect to your outliner and guidance?
Matt Liuzzi: Hey. Shneur, it’s Matt. I think it’s probably more the latter than the former in terms of the conservativeness. I think, as Eric mentioned, we’re starting to see a lot of positive signs and kind of the market seems like it’s setting up for that for a good back half, which I think is consistent with what other folks in the space more broadly are pointing to as well. But, I think at this point in time, we felt the prudent thing to do was, keep it where it was. We didn’t decrease it and we didn’t increase it. We just kind of kept it where it was. And as things play out over the course of the rest of the summer and the fall, we should be in a position to update that if appropriate.
Shneur Gershuni: Okay. That makes perfect sense. Maybe to pivot a little bit. Eric, in your remarks, you sort of talked about the dual fuel compressors and kind of more to come; Energy Transfers, talked about them as well too in terms of its patented technology. And then I think, last week Trans Canada -- or sorry, TC Energy, I guess, is what they’re called now, talked about they were adding it to their system. Can you sort of talk about the opportunity set that you see? Is this an advantaged compression unit that you have? Are you potentially selling them to or leasing them out to TC Energy and others that are starting to talk about this? What’s the discussion with potential customers? And how does this all work with your relationship with Energy Transfer and how that could be deployed?
Eric Long: Yes. Shneur, you’ve got multiple questions there. I think, for competitive reasons, we’re not going to get into any specifics on today’s call. It’s clear that Energy Transfer and USA Compression both believe that dual drive technology offers a competitive advantage, both for midstream players as well as USA Compression vis-à-vis our peers. I think simplistically, the dual drive concept offers some redundancy that a straight electric compressor would not. Electric compression is viewed as I mentioned, where the puck may be going. But, you’ve got substantial grid limitations; you’ve got lack of infrastructure. We saw in Texas during the polar vortex what happened when electricity gets shut off, the major processing facilities and no electricity, no electric compression would be able to drive -- would be able to work. So, I think there’s some unique aspects of dual drive in our preliminary discussions that we’re having with different targeted customers. They also see the benefits in the form of reduced CO2 emissions, substantial improvement in redundancy. There’s a lot of efficiencies that can be brought to the table. So, there’s a lot of features and benefits that this has. So, I think, we just wanted to mention on the investor call today that this is something that is right down the fairway for us. We’re not planning, as I mentioned, to add any new equipment in the back half of 2021. We’ve made no commitments for new equipment into 2022. The dual drive will become a greater and greater focus as we move into 2022 and beyond, with our core fleet as something that we can retrofit cost effectively and economically and something that we think provides us with significant opportunity sets, as well as significant alternatives to any offerings that our competitors may be able to bring to the table.
Shneur Gershuni: Yes. I appreciate the color. Just to clarify, just to respond a little bit there. So, you said there’s no plans to order new equipment now or into next year, at this stage. Does that mean your existing assets could be upgraded to the dual fuel, or once you make a decision, then you’ll be making some acquisitions or placing some orders?
Eric Long: Our view, Shneur, is that we can cost effectively retrofit our equipment. And accordingly, there’s no need for us to go out and additional, as an example, either new conventional compression type of equipment or to add just standalone electric equipment. Brand new electric equipment doesn’t give you the dual fuel capacity where you can run on electricity or can run on natural gas. So, we believe that the cost effective retrofit of our existing fleet indeed is the way to go.
Operator: Our next question comes from Vinay Chitteti with JP Morgan.
Vinay Chitteti: Hi. Good morning, guys. I just wanted to look on -- wanted some clarification on the EBITDA outlook here. So, it does appear you are doing better than what was budgeted early this year. But, when you think about it, it feels like it you’re getting more benefits from the cost side versus on the utilization side. I just want to understand your thoughts how the current activities trending versus what you budgeted earlier this year. And then, given there is an improved production outlook, how that could translate to utilization recovery over the next few quarters or 2022?
Eric Long: Vinay, this is Eric. And I think, a fair way to say it, you notice that we’ve had margin improvement, while we’ve had a little bit of degradation in utilization, predominantly driven by that capital lease, which was -- we knew that was going to occur for a long period of time. Our approach, and we’ve done this in the past, when we’ve seen downturns in the cycle, as I mentioned earlier, we see a four to six-quarter lag between new activity and then when demand for compression starts to tick up. So, since we have opted not to add any new equipment to the fleet, we will be focusing on utilizing our existing idle assets to redeploy. Rather than redeploy those assets when pricing is soft or contract tenures are somewhat shortened, we have chosen to maintain and improve our operating margins, our gross margins, rather than I think our quote was in our prepared remarks to dump equipment on the marketplace. So, as we see, demand continue to tick up, we see no new equipment being built or limited new equipment being built. We see competitors dumping equipment into the marketplace, just to grab any kind of incremental revenues, our sense is that some of their balance sheets are strained and some banks covenants that they may be dealing with, so got to create revenue at any and all costs. So, we’re maintaining some discipline out there associated with it. So, our view is that in the upcoming quarters, we will be one of the last men standing, so to speak, have high-quality, larger horsepower assets that we can readily redeploy, and lock in longer-term contracts at premium pricing.
Vinay Chitteti: Got it. That makes sense. I guess -- so that also talks that you are very comfortable to where you are in terms of leverage and also bank covenant. But, you are also talking about distribution will be looked at quarter-to-quarter. Maybe if you can share any thoughts on what do you think about leverage near-term and the long-term, and what factors could weigh in your distribution outlook? I mean, EBITDA is doing well, and you are saying operating leverage would pick up later this year. So, I just want to understand that.
Matt Liuzzi: Yes. Vinay, it’s Matt. Yes, in terms of leverage, I think you’ve probably noted, it’s basically from the first quarter, where we are, we’re still under kind of 5 times and sort of well within our covenant levels on the bank deal. So, overall, I would say, it’s not too much of a concern. As Eric mentioned, as things pick up, if this is the kind of the trough of things, as you know, we do have a lot of operating leverage. And so, as things pick up, we should be able to generate cash flow that falls to the bottom line and then impacts on a positive way that leverage. So, the Board looks at it, like we mentioned, on a quarterly basis. And obviously, we’ve had strong quarterly results this year so far with sort of an improving positive outlook. And so, again, they look at that every quarter. So, we’ll revisit it with the Board next quarter. But, it would certainly seem like we’re kind of through the -- at or through the trough and positive that things are looking up for the rest of the year and into next year.
Vinay Chitteti: Got it. That’s it for me. Thanks a lot.
Matt Liuzzi: Okay. Thanks, Vinay.
Operator: And that does conclude today’s question-and-answer session. I’d like to turn the conference back to Eric Long for any additional or closing remarks.
Eric Long: We were pleased with our results during Q2 and believe that the balance of 2021 and on into 2022 will show continued improvement in our overall business. We continue to experience the stability in our business that we have become accustomed over USA Compression’s history, stability driven by our focus on large horsepower and the resilient global demand for natural gas. Natural gas prices have moved to recent record highs and the outlook for production is positive, which bodes well for the demand for compression and for our business. The fundamentals of our business remain the same, driven by the demand for natural gas, which we see increasing in the U.S. and throughout the world. We have a great asset base from which to be involved in the longer term transition to cleaner energy, which natural gas will clearly play an important part. We believe that the underlying stability of our large horsepower infrastructure-focused contract compression services business model, coupled with the science behind the need for compression, driven by the interplay between pressures and volumes will be a key point of positive differentiation for USA Compression. We continue to be well-positioned to benefit as the domestic and global recovery takes place. Thanks for joining us. And please be safe. We look forward to speaking with everyone on our next call.
Operator: That does conclude today’s conference. We thank you for your participation. You may now disconnect.